Operator: Hi, everyone. Welcome to ADS-TEC Energy’s Full Year 2023 Earnings Call. A recording of today’s call and a presentation can be accessed shortly after it concludes from the Investors section of our website. Joining me on today’s call are Thomas Speidel, Founder and CEO of ADS-TEC Energy and Wolfgang Breme, CFO of ADS-TEC Energy. Today, we will be discussing ADS-TEC’s latest financial results for the full-year 2023, guidance for the 2024 year and conclude with a Q&A session. During the call, management will be making forward-looking statements regarding full-year 2024 and onwards and the outlook for expected growth in investment initiatives. These forward-looking statements involve risks and uncertainties, many of which are beyond our control and could cause actual results to differ materially from our expectations, including among other risks and uncertainties, economic turmoil and political instability, the ongoing military action in Ukraine, conflict between Israel and Hamas and other geopolitical challenges. These forward-looking statements apply as of today, and we undertake no obligations to update these statements after the call. For a more detailed description of factors that could cause actual results to differ, please refer to the Risk Factors section of our annual report on Form 20-F previously filed with the SEC and posted to the Investors section of our website. Also, please note that financial measures presented on this call adhere to IFRS and non-IFRS. We use non IFRS measures because we believe they provide useful information about our operating performance that should be considered by investors in conjunction with the IFRS measures that we provide. A reconciliation of these non-IFRS measures to comparable IFRS measures is included in the earnings release and investor presentation. With that, I will turn the call over to Thomas Speidel, ADS-TEC’s Founder and CEO. Thomas?
Thomas Speidel : Yes. Can you hear me? Okay. So welcome, ladies and gentlemen, dear investors. Thank you for taking your time and joining our earnings call 30th of April, 2024. So, please move to the slide with the agenda. We want to go through the year. So, it’s a review of the full-year 2023 and an outlook to 2024. Let me say something about the current market trends and also the challenges we see. Then again, about the ADS-TEC strategy and our USPs. And, important for the call here also the financial highlights and then with that, I will hand it over to our CFO, Wolfgang. Next slide please. So, let’s start with a review of the full-year 2023 and the outlook 2024. Next slide, please. Let’s look at the review for the full-year 2023. So, as said last year, even in a not very easy environment, we made or we met our projection of more than a EUR 100 million revenue in 2023. So, we achieved our targets being communicated to the market last year. We also achieved that the adjusted EBITDA was positive in the last quarter of 2023. We also confirm that for this year 2024, we have our target and confirm the target revenue wise of EUR 200 million and above. We are very proud that we reached these targets with our team and we see that the increasing number of clients and blue-chip partners and clients will lead to the growth and to the targets we have communicated and we are working for. Some numbers, we have over 1500 battery-buffered charging points installed. We don’t know any other company having similar or even close the amount of battery-buffered charging points installed. In total, we have shipped and produced more than 2,500 charging points so far. And, a very important point is that the operation, the field experience is even better than expected. So, we hear from customer that expectations are met or even we have beyond the expectations in terms of utilization. We have sites providing more than a megawatt hour of electricity a day, and we saw more than seven megawatt hour a week, delivered by one ChargeBox to EV drivers on a power-limited grid with no grid expansion. So, that is almost or that’s close to the performance of a charge park because utilization then is more than 20 sites a day. We keep focusing on our core competences and we also want and work for the growth with many partners in different segments and markets. Next page please. Let’s dig a little bit deeper into the market trends and the challenges we see or we’re facing right now. Next slide, please. So, you should see now the assessing current market trends and challenges. A topic which is on the news every day is the grid expansion, whether we are in the U.S., whether we are in Europe, I would say, everywhere grid expansion is one of the hottest topics, because the transition to that more or less all electric world needs more power, more transportation capacity or and that’s the point where we are trumping in flexibilities. We first compile here some messages from some recent news. You can pick whatever news you want. We see that grid expansion is an issue, whether it’s on the highest level or going down to the mid-voltage or low-voltage level. And, that gives us the confidence that flexibility and especially intelligent management of flexibility such as it is necessary for the peak shaving, for example, when we supercharge a car in minutes instead of hours. So, we can see here some numbers and these numbers are important to understand, because all the costs will over the next years, somehow they must be distributed to us as the end customer, because somebody has to pay for it. So, power from our point of view will be more expensive in the future, because the investments they must be repaid. And, we see here some numbers EUR 300 billion for transmission grids and power lines and also EUR 150 billion for regional distribution grids. So, these are very high numbers and we also know that the time to get it done in many cases is delayed. So, you have to apply for it, all the plan is have to be done. People don’t want to have a grid expansion close to the places they live. And, so there are many restrictions and also hurdles, which must be taken even if we would want to expand the grid. There are obstacles, not only the money we need, it’s also the amount of copper, the amount of resources of people, of the time for application and all the other things. Last but not least, also the acceptance of people living close to the transmission line. Next slide, please. Despite the challenges and the dynamic market development and we see that on the news every day right now, so that some journalists are writing that EVs are going down. The others say it will come back. So, we all know that it’s a temporary transitory view. But on the long run, EVs will be more efficient. And, what we see here is also that the management of these flexibilities and of the restrictions in the grid regarding the power will lead to bottlenecks in the grid expansion. But also on the other side, we will see that the driving factors for more power in the grid is not only coming from the chargers, it’s also coming from heat pumps and from photovoltaic. So, in both direction, we have a need to expand the grid and we see here the EV forecast, whether it’s in the E.U. or in the U.S., is an exponential curve. So, this is on top of all and here down right in the corner, you see that our solution with the battery-buffered supercharger is very welcome here and helps to solve these issues. Next slide please. These numbers, we got them from P3 Group, again, gives us an estimation about what’s coming, what’s in front of us. We have here the two geographical areas, European Union and also North America. And, what we can see in many locations, the EV acceptance is really rapidly growing, because people who drive an EV and they have the charging capacity then it’s convenient and it’s cheaper regarding the total cost of ownership. In the Nordics, we have already adoption rate beyond 90%, which is the highest one. But, we also see here that fleets and company cars are going to be electric, because it’s just cheaper and not only for people driving it, it’s also a tax issue, it’s about the energy cost, about the total cost of ownership, the OpEx and last but not least also the opportunity to generate your own electricity, which is in many cases even subsidized by the government, so you can generate your electricity beyond EUR 0.10 while you’re buying it [EUR 0.30] (ph) or even above from the grid. What we see here is that the increasing number of charging points is in front of us. The reason is that if we have higher population, people just expect that they can charge everywhere. And, this is what we also hear from companies, if they move their fleet to EVs, then they cannot spend the time driving over the autobahn or highway, and then it takes you one hour to get off the highway, to make the break to reach out the car to get back on the highway. And, it’s very inconvenient and it takes time to do that whenever you travel. So, charging is also going into the infrastructure. People expect even supercharging where they are close to the office as part of the infrastructure in their office buildings, in condominiums, in residential areas. It is okay to charge your car over hours, overnight, if it’s possible, but just in case mobility is always freedom to go wherever you want and whenever you want. And, that means nobody will accept that you have to wait to recharge your car and nobody would see that’s a convenient solution, which that it takes me 10 minutes to 20 minutes to get to a charge park and then another 40 minutes to get recharged and all the way back. Another thing are the CO2 reduction plans. We just heard from our Commissioner from the European Union, Ms. Von der Leyen, last week when she opened the Hannover Fair that the Green Deal and the CO2 reduction plan will be one leading component over the next years. And, so that is also important for companies, because to reduce your CO2 emission and your footprint and to get credits and ratings with the right results, people have to reduce their CO2 emissions and fleet are one of the driving factors here. Next page, please. As I just said, many people now saying, well, we are going back to combustion engines and the sales of the cars are going back and look at Tesla even their last quarter was going down. But, I think we don’t have to worry about that because that’s normal. You cannot go up all the time and that we will face some pushback that was very clear in this huge transformation and transition. Nevertheless, they can reduce the prices of their cars and we also see that from Korean cars, Chinese cars and others. They can reduce the price and still produce profitable. So, Tesla now is down to 10% profit they came from 17%, which is very high. So, they can still make money with just producing EVs. And, so it will be the way that the car will be a computer on wheels and powered by electric motor. And, what we can see here on this page, the EV registrations, it’s not as we might see it on the news. We see here China, Europe and the U.S. And, if you look at the numbers, then you can see the new EV registrations and the market shares. In China, it went up and if we only, now let’s look here at the best of the battery EVs, the pure batteries not the plug-in hybrid. The pure batteries went up from 39% to 36.6% in China, which is really a significant growth. And, we see in Europe, it’s close, it’s not really a strong growth, if we only look at the best, the battery-based EVs. And in U.S., it’s in a very low level. It’s almost stable so far. But on the other side, we see the registrations and that’s on the right side, the developments in Germany and in the other countries. And we see United Kingdom last year from Q1 2023 to Q1 2024, they raised it about 18%, the EV rate and Germany went down 5%, which is not as dramatic as people say. It’s 5%, but the growth before and also the subsidies we got were heavily pushing the EV adoption rate. Now, it’s coming down a little bit, but we will see that the growth will turn back to a positive growth. So, we are convinced that that’s going to happen soon. And, we see in France that there have been a 17% growth from Q1 2023 to Q1 2024. So in total, there is a growing population of electric vehicles and they all need infrastructure and they all need power. Next page, please. If we now translate that to the need of charging capacity, then we see here a slide which is also the data provided by P3 Group. And, we see what is expected and that is why I’d say it’s in front of us, so best things still to come. We are here 2023, moving to 2024, and we see E.U. and U.S. again and the forecast for high-power chargers, we talk about high-power chargers when we provide more than 150k charging capacity. That’s the definition, and you see here the numbers in thousands of charging points. So, if we look just the period 2024 to 2027, 2028, then this is almost a tripling of the amount of charges planned or expected in 2024. We see in parallel and this is something we also have to consider extremely volatile market conditions. So, as we all know, the infrastructure is called a critical infrastructure. It is regulated, it’s highly regulated even within countries, but even more over the boundaries of countries. And in Europe, we have completely different regulations and grid codes. And, in the U.S., it’s also depending on the states. So, this is also something we have to follow, but on the other side, that’s a positive momentum for ADS-TEC. Why? And, we will see that later. It’s not as easy to just build one component and roll it out over all Europe or the U.S. or worldwide, because to comply with all the specific needs and regulations and changes in regulations, which we have seen over the last years many, many times when we have started to develop ChargeBox, the applying regulations have been 24 pages and now it’s about 300 something. So, you see how also the regulation is changing and who can follow all these changes and who can provide the services and the compliance over years, if you don’t have the ability to change every software, every piece and follow exactly these developments. And, that is for us on one side, it is a breaking momentum, because the rollout can be slowed down. So, it takes some time to get all the regulation stuff done to, when we have to, when our customers have to apply for installation, then that could take some time, but we can do it. And, the positive thing on the other side is, with ADS-TEC, you have the partner who can support you not only at the beginning when you buy and install the unit, we are there also over time supporting with services and also availability services and all the digital things behind that. So, to fulfill the demand, which we see in the upcoming years, now we have the two curves. I just mentioned the demand for the grid expansion residing not only from the EV business, but also from, as we say, the all-electric world. So, it is coming from photovoltaic, from renewables, but also now hydrogen electrolyzers. The whole system is in the transformation and you might have seen that the ZVEI, which is one of the biggest association in Germany of our industry, their new slogan is All Electric Society. And, so it is a clear view on the market that electrons in the future will be the currency of energy, because we can transform electrons very easily, electrons-to-electrons with batteries, but also electrons-to-mobility, EVs, electrons-to-gas, electrolyzer or electrons-to-heat, which could be a heat pump or other technical solutions. So, that’s the currency and we can manage it on a digital basis wherever it is installed and that will be a decentralized installation and that’s exactly what we are supporting here. Next slide, please. A few words about the strategy and the USP ADS-TEC can offer in this environment or in this market segment. Next page, please. We want to still focus on our core competencies, which means when we started, when we had the first slide presentations, we already said we want to be very clear. We are not an operator, we are providing technology and services to the future power companies who are serving their customers, are offering charging services, they integrate the solutions into the infrastructure, that’s still what we do. So, we are very clear in the position in the market, which is helpful for our partners and customers, because they don’t have to be afraid that we are in competition with them. And, you will see later that this strategy led to a broad base of new customers and partners, because it’s their job to be the next utility company or the next power company offering all the services following the local regulations, optimizing the energy flow or the payment services and everything that’s their business, that’s what they do, but we give them the opportunity over a long time. As I always said, it’s like your phone. Apple is not providing the app, but they are providing the platform that companies, thousands of companies can run their own applications on the platform. And, we are the one who support you with updates over the year, security patches and so on. So, when we look here at Europe and North America still, the two geographical targets we are supporting. So, ADS-TEC here in Europe, we will expand our role and we want to have the leadership in battery-buffered charger. And this is, I think the role we currently have. And, we see strong momentum on onboarding new also blue-chip clients and customers. And, this is important to understand also the growth plan, which we will see later. Why can we grow in a way that we have seen last year and what we expect this year and beyond that is, that many partners will or have just been starting with us. And, we have over the last three years started with one customer, one partner and then meanwhile there are many. And based on these customers and they all are facing a network or not just one installation, so together with them, we see the growth in the market and in the future of battery-buffered charges. And, also in the business models, because very often they start with one business model and then the other ones will be added. So, for example, you start with charging, because you just want to avoid a grid expansion and then later you may add bidirectional use of the battery, you may add using arbitrage against the stock, because therefore you need also the back-end and all the technical environment to do so. So, it’s a step-by-step case and not every customer from ADS-TEC is using the full package from day one. For the geographical expansion, we are now active in 15-plus countries. So, from Great Britain over Europe, the Nordics down to Spain, and recently also have installed or partners has installed some systems down in Australia, even if that’s not our target country. We see on the right North America, we have set our location in Auburn, which is already or has already been communicated by us. We have with Robert Vogt, a new Manager in the U.S., very experienced manager. And, now in the U.S., many changes has happened. We know that NACS came up last year. We will follow the NACS demand for ChargeBox as well as for ChargePost. Why that has been decided, nobody knows, but it is now the new standard and we will follow that. We have besides Renato, who is managing the U.S., we have Michael Spurr. He was the last year here in Germany and he is now also in the U.S., and he is responsible for the role and for the government affairs. So, we are closely also in discussion with the authorities because we know that there are lots of regulation funding subsidies, demand charges where we have to talk also to the official sites. That is what Michael does and supports Renato in that regard. We have also new partnerships in the U.S. So, these stores like Nouria, we have first sales to Alabama Power and also to some for dealerships. And, so in the United States, we are now getting step-by-step into the especially into the decentralized locations. And, as you have seen the press release, I hope we started one installment at Marina Palms in Florida. Why did we do that? Because, we are convinced that supercharging will be part of your infrastructure asset. And in this case, it’s a luxury condominium. People already enjoy elevator, air condition, valet parking, security, gardening, everything is coming out of one service package. The garage is sufficient for 400 cars, passenger cars. And, if you walk through the garage, you’d see really nice cars. So, also the not only combustion, but meanwhile lots of EVs. So the manager from Marina Palms told us that last year it went up to 50 EVs and it was from a Tesla Cybertruck to Tesla Model Plaid, Audi e-tron, Porsche Taycan and the Korean cars. And, what we have seen is that the installment of a Level 2 charger is expensive. It was about 15K to get that installed and all the wiring going through the concrete ceiling and then the charging capacity is only 11K. What we did is now we installed a ChargeBox in front of the garage and now the valet parking and also the residents of the condominium, they are now able to quick charge their EV and that is very convenient and the feedback we got so far is absolutely positive and we see a market there for all these condominiums, residential areas and also office buildings that they will install a supercharger on their premises, because it will be as normal as an elevator or HVAC. It’s part of a modern infrastructure that you can charge your car and even fast charge. And that’s in front of us. So, we see that maybe there is much more supply or there will be much more supercharging capability than we expect, because if you can do it everywhere and maybe even for low price, because electricity is generated locally or it’s subsidized by your employer or by the city or whoever then that will be also a hotspot for people driving an EV. Also here, to come back to the companies, 100% ability to act is key for us. And, now we are also the recommended partner. We all know that Porsche has been our first big contract, and more and more we are also providing the services for the Porsche dealers, which now and I mentioned that last year will help us to expand our service business. We are convinced and that is what we already see that the services are kind of a tail you pull after the OpEx, after the CapEx. After installation, people need different services. Sometimes you start with a low level and then you take a higher service level and this is where we are right now. So, we see it’s coming step-by-step. Next page, please. And this is what we, I guess, mentioned very often. So, just the basic footprint of ADS-TEC, we need to have the hardware, because only if you control the hardware you are able to add all the other things on top of it. So, hardware is the key. We are still only buying the battery cells from different cell suppliers and all the rest is developed internally. Based on the hardware, the software also must be in house. Meanwhile, we have also the software for the chart controller in-house. We have the software for the inverter in-house, for the battery, for the battery management system. That’s all internal software, which helps us to modify the systems whenever it’s needed or to provide security patches or upgrades. Then the services are kicking in. Services, it’s a broad range of services. In general, it’s all about optimizing the TCO, whether it’s providing APIs for a new business model, which could be frequency regulation, it could be an interface to interconnect many of our chargers to one virtual power plant. It could be availability service, which is very common that customers say, please, ADS-TEC you take care for the availability. So, we want to have 97%, 98% whatever, depends on the location, availability. It’s your turn and ADS-TEC is doing it. So, we have remote access, we are monitoring the systems, we can do the software updates and then we also can do the services, which means spare parts over very long periods, because it’s all developed in-house and also if needed software updates. Last but not least, and that will be the next step and partly it’s already starting. We call it features. And again, if you compare it with your Apple iPhone, the platform Apple is providing own apps, such as AirDrop and others, which are highly welcome if you use your Apple system. But, there are others, which can be programmed by you as a customer. And, the same strategy is ADS-TEC offering. So, we are offering more and more integrated software components where, for example, a real-time frequency regulation or real-time peak shaver, which might be dedicated to a local requirement from a grid operator that could be an internal function. External function could be that you are using our battery and integrated in your SCADA system, which is very interesting for utility companies, because they are trading electricity 24 hours, 365 days a year. They make money out of energy trades and then they can integrate the battery as a source or a drain. And, that allows them to distribute electrons and not only on a virtual base and therefore they need interface. And, these kind of interfaces you see here, third-party apps, we can offer a standard interface, but also can customize these kind of additional functions to the needs of our customers and partners. Next page, please. Here we see again that it is kind of a toolbox. We have own in most cases the same battery module which allows us to provide spare parts over a long time. So, even different battery cells are in the same form factor. Our battery module can support 2,700 cylindrical as well as prismatic cells. And, you see here some of the application whether it’s industrial storage or the ChargeBox or the ChargePost. ChargeBox and ChargePost are using identical battery modules which allows us to have one spare part for long-term. And, on the other side, because the module is less than 30 kilograms, it’s very easy to replace in a service case, because you only need one person to handle a module and no forklift to replace our 400 kilogram battery pack. Next page, please. Let’s go to some of the advantages when we talk about battery-based charger. On the left side, we have a standard charger, so a grid connected charger without a battery. And, on the right side, we have the DC fast charger, the battery-buffered. And, just walk through these items here. So, the CapEx, the CapEx for a non-battery-buffered charger is cheaper when there is enough grid capacity available. That’s for sure. That’s not new. But, as soon as grid expansion is necessary, then it shifts in because you have to apply for it or the cost for the grid expansion. Then every year, the price for power has increased over the last years and I will show you another slide where you can see that later. Even if you expand the grid, then you must consider that it only makes sense the year has 8,600 hours. If we expand the grid only for 5% utilization, that makes no sense. And in nowadays, when grid expansion is very expensive and in general is needed, then why should you expand the grid for 300K to charge your car if you only needed 5% over the year? That makes no sense. So, the spare capacity will be too high and some utilities are charging you a penalty, because they want if you expand the grid, they want you to use at least, for example, 70% of the capacity over the year. You also would not build a highway with 12 lanes, where the 12 lanes are only used in 5% of the time over the year. And, that is why we will see additional cost coming up, it’s not only the transformer, it’s not only the initial cost for the CapEx. And, we see here the OpEx, total cost of ownership over 10 years, yes, we have to consider also increasing price for the electricity, not from the generation, we even see now that the electricity price went down again. Even people say, now the Ukraine war has led to a shortage and that is now why the electricity price is up three times. But meanwhile, it came back. And, we all know that based on the very low cost of, for example, for the world hike generated electricity, you can generate electricity beyond EUR 0.10 on your own premises. So, over time, if we talk about a 10-year or even more operation, then with your photovoltaic, you look at the carport, a carport roughly can have five megawatt hours solar generator on the rooftop, five megawatt hours a year, that is already what a Tesla Model S takes if you run-in 25,000 kilometers a year. So, here we see that there are potential savings and it’s also paying into your CO2 reduction account. And, if you buy it from the grid then you are addicted to the cost and not only the electricity cost from the stock price, but also from the grid price and the grid cost and they have been increased over the last years, especially last two ones significantly. Then grid services, we just mentioned it with the battery you can use it for bidirectional use and we also can offer peak shaving or frequency regulation, arbitrage, I think I don’t have to mention that and with the ChargePost, in addition, advertising. But also here, advertising has a very regulated market in some location, it’s easy to get an application through, in some areas it’s a longer thing to get a loan to install an advertising pole. But, these are the opportunities where people can add revenue streams on top of the investment and which are not only related to charging. Next page, please. But, even in the pure naked charging application, we enable the operator to have an optimized business case. And, let me just point out it here, the standard DC fast charger to the battery-buffered fast charger on the right side, we see on the left side. If we buy the electricity from the market, then we have a stacked electricity price. It differs from region-to-region, but basically the electricity price is composed out of the electricity price, which is basically defined by the stock. In Leipzig, in Germany, for example, and then all the grid fees, expenses, taxes and so are they added up. And, so we have different prices here in Austria or in Germany or wherever in Europe or in the U.S. And, what we can see here, if you have a charger, a normal charger then your margin can only be made out of the top of all the costs. So, you have to follow the costs, which are provided by the grid and the grid operator and the electricity pricing you have to add a margin. And, you are in the competition with all the others providing exactly the same electrons. And, there is no difference, which makes it very hard to compete. And, I think that’s part of the reality we see right now in the charging business. Where is the big difference if you only have the same electron and you have to pay the price for the electron, which is not in your hand. You have to pay whatever is given by others. And, if the grid fees are increasing, then you are forced to increase your price. If the grid fees are going down, they are going down as well for your neighbor, and the same system. On the right side, we are offering then more opportunities to optimize your margin. Just one example I mentioned before is, if you compare, when I pull an electron out of the grid today, it could be here around EUR 0.25, EUR 0.28 up to EUR 0.30 maybe. If I generated on my own premises with my own photovoltaic it’s EUR 0.07, let’s say it’s EUR 0.10. So, it’s about EUR 0.20 difference from using your own electricity or the compared to the electron you buy from the grid. In that case, your margin will be tripled, I guess. And, you can control part of the cost by yourself. And, the same is, if you use it for arbitrage for peak shaving, you use the battery for peak shaver, you make and avoid demand charges. In the U.S, we have compiled a database where you can type in your zip code and then you will see what can be avoided regarding demand charges and we see locations where it’s between $40,000 almost $100,000 a year only to avoid demand charges. So, the payback time of a battery-buffered charger in these cases is very short. Why? Because you don’t have to apply, you don’t have to expand the grid and you don’t have to pay for the demand charge. Next page, please. Let’s come back to our business and the development of our business. And, I think one very important slide here shows the development of our customer base. We started with, as you know, one blue-chip customer and some less others. So, but that was our main customer with Porsche when we had the opportunity to equip all the Porsche dealers. But, then new customers came in and you see here how it developed over the last year. 2021 was when we have launched the Porsche ChargeBoxes by end of 2021. They were all shipped out and now we see 2022 already and this is what we also communicated. We won new customers, partners and they followed our, they are sharing the same vision of the future in terms of a decentralized intelligent energy system, and they followed with their business models and our platform strategy. And, you see then how that almost exponentially grew over the years 2022, 2023, and you see here end of year 2023, 2024. So, that is already what we have achieved with new customers. Of course, they are starting on a low level, but every customer and we are not talking about end customers where we sell one unit to one, let’s say, office owner. These are partners who want to scale into the market. And, now you see the distribution all over Europe or the U.S., there will be 100s of them, because it’s so distributed and there is not one Google serving all of the installations. There will be many and we want to be the company supporting them and we see here that it worked. And, just a few words about the sales cycle, we can say that it takes almost like a pregnancy about nine months to get a new customer on-board because they need to understand the technology. We talk a lot about the potential. We have to talk about software interfaces about the business models or they are asking us how we can support them and then they do a first installation. They may the bigger ones have the request to put the units in the test lab first and so it’s about nine months until we get the first orders. Then, they do the testing, they check the utilization and then we see that the numbers are going up. And, don’t forget that these companies that they have the sites, so they have to do the planning, they have to do all the preparation to get the units out. So, it’s not only that they say, wow, this is the solution we want to have and now we buy I know how many 100s. And, it’s only a question of logistics and installation, no, it’s more because you have to plan it, it must be part of the business model and that is why it takes some time to get new customers and partners on board. And, we are proud and this is what this curve shall show that we did that in the past and this is not a plan now into the future. And, we only want to share here and today that it’s already achieved and that we have reached a significant amount of new customers and partners and not just relying on the initial ones, they are important of course and we will serve them as good as we can. But, we also want to go into the broader market and that is what we see here. And, don’t forget that all of our partners; Number 1, we are not competing with them. So, everybody is served as good as we can and in a fair way, so they can rely on us. And Number 2, they all want to scale their business, so it’s a partnership. And, that is why we believe it’s a long-term partnership and it will be for both, very positive that we can follow in the combination what we will expect new business model flexibility could be a market. We are talking about bidirectional use of EVs as a buffer. Whatever is now coming up together with our partners, we are the one who can help them and it’s not a standard investment, because they have a partner who has the ability to act 100%. Next slide please. That’s the summary of I think what I already have mentioned. We see here that the ability to act helps us to optimize the total cost of ownership to provide multi-revenue opportunities to our customers to make them strong. The stronger they get, the better it is for us, for all of us. And, we need resilient energy system, we need a resilient infrastructure. And, that is what will be more and more topic. We see that the geopolitical issues are not solved and maybe will not be solved over the next year. So, it will be more and more important that networks are coming together supporting here in the best way. The broad scope of services I already mentioned, and also that we can follow the market specifics and that we can offer them individual IT interfaces or APIs, which allows then our customers to adopt the physical opportunities of the platform from ADS-TEC into their own business models, whether it’s trading or whether it’s arbitrage, whether it’s flexibility management or whatever, or like we have seen it in Marina Palms serving the local customer. Next page, before I hand over to Wolfgang to talk about the numbers, I want to thank you. Thank you for listening. Thank you for all your support also in very volatile times. I’m proud what our team has reached over the last years and especially that we have been able to close 2023 on a level what we have communicated to you as an investor, to the market, to the analysts. And with that, I want to hand it over to, Wolfgang.
Wolfgang Breme: Yes. Next slide, please. So, that shows the development of the revenues. I will be relatively short to open the line for questions as soon as possible. So, what we see on this slide is and as you know, we already published our rough financials in February. So you can see, we achieved what we announced to deliver, so EUR 107.4 million in revenues. And, our guidance for this year, we reiterate our guidance, which we gave out earlier in the year. So, this year we are approximately doubling our revenues to EUR 200 million that’s the target and guidance for this year. For last year, the adjusted EBITDA was around minus EUR 16.6 million as announced in February. More interesting is that the EBITDA for Q4, where we had EUR 50 million in revenues, the pro forma adjusted EBITDA in Q4 amounted to positive EUR 4.6 million which shows that the company, first time after the de-SPAC and IPO, was able to deliver a positive result on a pro forma EBITDA basis. So next slide, please. Let me summarize the highlights of the presentation. So, best-in-class, what Thomas mentioned, more than 1,500 charging points installed, we delivered in total, so this means delivered, installed and not yet installed 2,500 battery-buffered DCFC charging points. Our major selling products last year were ChargeBox and ChargePost, who have been proven by real operating data from customers. So, those products are very high-performing, high-usage products in the market and exceed customer expectations. So, currently we are basically benefiting from the fact that more than 10 years of product development are now coming to success and entering the market with bigger numbers. The revenue target, as said, we achieved EUR 107.4 million. We confirm the revenue target EUR 200 million for this year. We increased our number of customers, which is quite important. So, we see blue-chip, very well-known names going into the market and also some of our smaller start-up customers getting funded, as we also mentioned before, so that we can see traction from two sides, new blue-chip clients, but also our established customer base. And, we are now working in North America with a new management expertise, and are expanding as well. You can see that we more than at 5x grew our revenues in the United States. Margins, we are positive adjusted EBITDA in Q4. We are targeting to be positive on an adjusted EBITDA basis for this fiscal year, and the incremental margin improvements are driven by high-value add for our clients, as Thomas pointed out. Service revenue growth, also important that our products are now going into the market and within our model. We are also selling service and contracts to our customers, which has proven to be very successful, and there is a high demand, because we also can support the customers for a very high uptime of our system. And of course, this year we will see another volume impact when we expand the revenues and the number of products shipped. So with this, I have a very short finance presentation, and I give back to the operator, please.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Matt Summerville with D.A. Davidson. Please go ahead.
Canyon Hayes: Hi there. You have Canyon Hayes on for Matt Summerville. I just wanted to check-in on the 2024 guidance with respect to the first half and second half revenue and EBITDA cadence. Similarly, I was curious on your unit volume assumptions baked into that guide and similarly geography.
Wolfgang Breme: Hi, Matt. Good morning to you. So, first of all, as mentioned in the press release, we expect a stronger second half of the year, so a back-end loaded fiscal year in terms of revenue. Of course, we do not want to disclose exact number of products, which are shipped into the market, given our, if we just say EUR 200 million in revenues, but it’s not wrong to assume, if you look at the numbers, which are published that we will bring an equivalent numbers times maybe two, if it comes to the EUR 200 million compared to last year into the market, if you look into our presentation. As this said, also, we are not expecting, for instance, to have margin decreases. We are expanding with the market, we are not expanding the market by for instance reducing prices or anything there. We simply sit in a good spot in the growing market and expect to also double the output in terms of numbers of our system, if it comes to charging products.
Canyon Hayes: Great, thank you. And, do you have any early feedback or any read on the ChargePost demand in the U.S.? Similarly, are there any existing supply chain or manufacturing challenges as of late?
Thomas Speidel: Yes, we already have spoken about the ChargePost, and we said that we will introduce the ChargePost 2025. Now, we have the development changes of NACS. We will do that right away and certification UL, everything is right now ongoing and we expect the ChargePost to be announced in the U.S. On the exhibition which is Q1 2025.
Wolfgang Breme: Any further questions, Matt?
Canyon Hayes: Thank you.
Operator: The next question comes from Pavel Molchanov with Raymond James. Please go ahead.
Pavel Molchanov: Thanks for taking the question. Let me start with a similar question to the previous analyst. When we think about EBITDA positive for the year as a whole, should we assume negative EBITDA in the first half, positive in the second half? Is that a fair generalization?
Wolfgang Breme: It’s a generalization. Of course, it’s driven by types of customers, products sold into the market. In general terms, Pavel, it’s such that, of course, the second half if, like if you see for instance the Q4 numbers, in the second half, if we have higher revenues, we will have a stronger result. But in general, we are not expecting to be negative as in the previous years and quarters.
Pavel Molchanov: Okay. As you look to build a significant U.S. business, will that include establishing a manufacturing operation in the United States?
Thomas Speidel: Pavel, we are still online what we have planned in the U.S. So, as you know, in Auburn, we have started with the battery assembly. Meanwhile, we had two major events in the United States. Number 1, the market has changed and now request NACS at least as a replacement. That’s the reason why we will postpone the introduction of the ChargePost in the U.S. a little bit, because the certified cables from our suppliers will be available to the market in Q1 next year, and we cannot ship the units without the cable. So, that is one reason why it’s a little bit slow or why is it delayed in the U.S. and the second, the Inflation Reduction Act and the NEVI fundings, they that all has changed many times and we have seen that in the sentiment of EV charging to follow these rules and regulations. There was uncertainty also on the customer side. We had many, many talks with potential customers and they said, okay, I would like to buy unit, but I don’t really know how to apply for the subsidies funding. How do I get it, what is requested from ADS-TEC to get as confirmation from us. And, so we had last year a lot of discussions here, but still the target is that we in the United States, ADS-TEC will have over time our own, let’s say, out of the U.S. for the U.S. That’s the way we have said it. So, we have already started to work with local suppliers to be prepared to then get the supply chain also moved over to the United States. So, this plan has not changed, it only has been postponed for several reasons and in total, there is no change and you see our investments now in Auburn, whether it’s Renato Gross, who is really experienced guy and he knows how to build a business or now we have sent over people, we are hiring new people, we are expanding our sales, but we go step-by-step and with a clear plan from the low hanging fruits, what’s coming next and we don’t want to go and now for example, take a lot of money into the company and build a factory, which is completely focused on an IRA or funding or tax credit basis, and then the market may change or might be delayed and then we could get in trouble because the sales and the production capacity is not aligned and then we got stuck. And, we have seen some of these cases in the U.S. also, by the way, the battery business, I have started very early to look for partners in the United States, where we could get batteries, cells. It is not as easy as we might think, and that is ongoing. I’m 100% convinced that we will see a lot of supply out of North America, including Canada. And, we know that that’s going to happen, but it’s ongoing. And, so the answer is, yes, we will stay with our decision in Auburn. We will go step-by-step. And yes, we plan to have a local-for-local strategy in the United States or North America.
Pavel Molchanov: Last question from my end. What was the percentage of revenue from Germany in 2023? And how will that change this year?
Wolfgang Breme: So, the German content went down slightly. If you look later, if you look into our revenue breakdowns in the filings, so Germany is around, Europe is around 80%, remarkable is so Germany, Europe 80%. U.S. grew by 5x, not significantly, it’s 5% U.S. and then other countries. So, there is, of course, Germany being very strong as a big country in Europe. The other countries like Nordics, like Benelux are growing. The DACH countries, the DACH countries are growing. France came in. Of course, Germany is by population very big, but the others, as Thomas pointed out, have higher adoption rates. So, not only the customer portfolio is diversifying, but also the countries are diversifying now. So, and going forward, what you saw in the graph is, we still expect Europe being faster in EV adoption and faster in extending the charging grids and network. So, for the next maybe foreseeable shorter term view on years, it’s stronger Europe and then the U.S. will kick-off at the end of the day. If you remember the graph, which Thomas, showed. So, and then it will shift to the U.S. and this is why we are preparing, let’s say, with hindsight, we are preparing building, if the demand is there, assembly facility in the U.S. to serve our U.S. customer base.
Pavel Molchanov: Got it.
Thomas Speidel: And, we see for example Kia, they are close to us in Auburn or close to Auburn and we have now installed a ChargeBox close to our factory or site in Auburn. And, they are coming and charge the EVs and you can see how positive it is received and very welcome that you can really even in these decentralized areas you can supercharge your cars. And, so that’s at the very beginning. It’s such a huge country. It is impossible to expand the grid in all the different countries and corners. Well, we are positive with the U.S. it might be a little bit delayed, but it will come.
Pavel Molchanov: Thank you very much.
Thomas Speidel: You’re welcome.
Operator: The next question comes from Craig Irwin with Roth Capital Partners. Please go ahead.
Craig Irwin: Good morning, and thank you for taking my questions or I should say good afternoon.
Thomas Speidel: Good morning, hi.
Craig Irwin: Hi. I was hoping that you might be able to talk a little bit more about your backlog and your business pipeline. Do you maybe have an updated number for us on the backlog today, the committed backlog at April 30? And, can you maybe characterize for us, you saw five-fold growth in the United States, those were very early units and many of those customers who are taking their first units last year. Are you likely to see similar strong growth in the U.S. based on what you have in backlog? And, then is the NEVI funding starting to support an accelerating outlook for you in the United States and business pipeline, anything quantitative that you could share would be really useful? Thank you.
Wolfgang Breme: Yes. So hi, Craig, how are you? So, let me start with the backlog. So, we will disclose the April backlog with our quarter one numbers. We will change, because I very shortened my presentation. We will change to quarterly reporting this year. So, it’s not a full like U.S. reporting, but we will give you a trading update on the basis of Q1 within the next four weeks. So, then we will disclose the backlog. If you take the backlog as of December 31, it’s EUR 80 million, eight zero million, the backlog for the year. So, you can see that already end of December, and this backlog turns around this year, the backlog is sufficient to cover more or less the whole of last year. So, we start with a quite solid backlog into the year. The pipeline is larger than the backlog. If you take our filings, it’s around at the end of the year, we had a pipeline with, let’s say, a certain high-probability as we define it internally of around EUR 100 million. So, having said this, we have a good start into the year, but what I said before, maybe it’s back-end loaded, so the same what we saw in last year. So, then I think NEVI, I’ll give to Thomas, what do you expect from NEVI?
Thomas Speidel: Yes, NEVI, the question is, who will benefit from the NEVI funding. And, if you look in details what’s happening here is the companies who benefit from NEVI funding are the ones who will do the installation or operation or the utilities themselves. And, so for us as a partner, as a platform partner, it is important to have additional values in USPs, which gives our customer and partner the need or the wish to go with us and not just for pricing, because if you take away all the fundings and subsidies and everybody is naked, then at the end of the day, you have to have additional values to survive and to be on the right place. And, just building a business on funding with subsidies and tax credits, that’s never good. So, it might be an accelerator. We would take the accelerator, but we would not invest only hoping that this accelerator will bring us up as a company, because if you take it away then everything is gone. That means, yes, and I cannot disclose the company’s names, but we know that customers from us, they were filing or they were applying for NEVI funding and they got it with ADS-TEC technology. And, then we are in very close discussion what is really needed and that is it’s not one serves all for the whole U.S. There are different waivers, locations, you can talk to the utility companies, to the grid operators and say, okay, is that needed, is necessary? We have different regulations in California, which are the stronger ones compared to others. And, that is what we do and we want that our customer partner picks ADS-TEC for the additional services and not just because of the cheapest price. And so, NEVI finding is okay and fine, yes, but at the end of the day, it’s neutral. It’s the same for anybody. So, it’s good. It’s a warm rain. It’s a warm shower if it comes. And, then we take it, but it can never be the basis of the business we want to develop, because if you take it away then everything is gone.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over for any closing remarks.
Thomas Speidel: Yes. Again, thank you for supporting ADS-TEC for your interest in what we do. Thank you for all support. And, we are looking forward to getting 2024 as successful as 2023 has been and we are very confident. And with that, I wish you a very nice and pleasant day. Thanks again.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.